Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. (Operator Instructions) The first question comes from the line of Ben Li from Morgan Stanley. Please ask your question.
Yolanda Hu-Morgan Stanley: This is Yolanda calling on behalf of Ben. Thanks for taking my questions. My first question is Chang’an Hospital. So it’s been a while since you acquired a majority stake of this hospital and revenue growth has been growing quite healthily, so do you have any sense of future development of this hospital? The second question is on the cancer center that you will set up in Datong. Can you give us more color, like why you choose to build a center in a city like Datong? And do you plan to open more in other regions? And how many centers do you expect in say one to two years?
Adam Sun: Let me answer the first question regarding Chang'an Hospital and Dr. Yang will answer the question on the Datong Center. As for the Chang'an Hospital, in this quarter the revenue growth remain on track. But being a general hospital, Chang'an Hospital's revenue growth and profitability improvement, we think, are facing a lot of constraining factors. In the Q3, the average outpatient charge per person as we calculate it is around RMB185 and the average inpatient charge per patient is around RMB4,600. Both are lower than the city's average and also much lower than that in Beijing or Shanghai for such first tier cities. Currently, the healthcare reform in China is progressing quickly. Under these new circumstances, we think that Chang'an's growth in the future also facing many constraining factors such as the introduction of patient referral system and the ever stricter social influence reimbursement control. In general, we believe there is still a lot of work that can be done and we hope that some of the work we’ve been doing for the past three years such as introducing international institutions and bringing more academic exchange programs between Chang'an Hospital and institutions such as Fox Chase, we are seeing more impact of these initiatives and we’ll make more effort in the future. Now I would like to turn it over to Dr. Yang.
Jianyu Yang: Let me give you some introduction on our Datong project. I think this Datong project represents that we’re taking the opportunity [bring] (sic) by the Chinese healthcare reform. Under these circumstances, according to the reform policy, the government encouraged private capital enter into the medical section, especially encouraged private capital to establish hedge funds to establish specialty hospitals. And the central government also authorized local government to get approval to our private capital to establish tier-2 hospitals. It only takes us three months to get the government’s approval, so you can say it's very quick. Secondly, to establish self-owned independent cancer specialty hospital has always been our dream and our strategy from many years ago. During the 17-year market presence, we have accumulated a lot of technological and software resources. We hope that we can take full advantage of our own platform to build our own brand. And certainly, we have a great advantage in this city. We have been operating one center in Datong City, so we have got a lot of experience and we have good reputation and recognition among local customers, local patients. So we could leverage those advantages in this city. Datong City is actually the industrial hub of Shanxi Province, but at the same time it actually lacks of local medical resources. So the Datong local government is actually really happy to give us this approval to establish a cancer specialty hospital so that local patients, local people could go to our hospital after it's operational and they don’t have to travel to other cities to get treatment. So in the coming years, because we have this important policy, we plan to selectively transform our current centers with the existing hospitals into freestanding cancer centers. And as to the city, we would consider those cities in which we have existing resources, in which we have already operating the cooperating centers and establish similar cancer specialty hospitals. In the future, we hope that CCM will be an operator of specialty cancer hospitals and operate the network of radiotherapy and diagnostic centers. In central cities, I mean Beijing, Shanghai and Guangzhou, we will build grade premium, higher cancer specialty hospitals. And for those other cities in which we have already established a center or we have -- in which we already have existing resources, we will establish cancer specialty hospital like a Datong Meizhong Jiahe. So in the future, we will operate a huge network of cancer treatment and diagnostics.
Operator: (Operator Instructions) We appear to have no further question at this time. I’d like to hand the call back to the management for any closing remarks. Thank you. I do apologize. A new question has just come in from the line of Jack Hu from Deutsche Bank. Please go ahead, sir.
Jack Hu-Deutsche Bank: [Foreign Language]
Fang Liu: Okay, let me translate the Chinese question into English. The question is about Chang’an Hospital. Because the CIO has just talked about the Chang’an Hospital’s growth and the operational situation, we can notice that the average outpatient charge per person and the average inpatient charge per person is actually considerably lower than Beijing and Shanghai level. So could you give us some explanations about that, and what will the company do to improve that situation?
Jianyu Yang: We actually acquired Chang’an Hospital in 2.5 years ago. At that time Chang’an Hospital is not new hospital, it had already got eight years history. Chang’an Hospital has been a general hospital, but we’re always trying to convert it into a general hospital with a focus on our strong oncology department. However, because of the Chang’an Hospital is not very competitive in the market, especially in terms of technology, so it has a lack of ability to give treatment to those patients who have very serious disease. So that is why we have such low outpatient and inpatient charge. The second point I would like to mention is that Chang’an Hospital is covered by the local social insurance system. So its targeted patients are the common people around that area, including low income group in that area. After the acquisition, we have tried to make improvements on its technology, on its brand awareness and also we have been cooperating with international medical institutions, for example Fox Chase. Chang’an Hospital is very large tier-3 hospital, so this conversion will be very slow, but we have always been trying to improve on that.
Operator: (Operator Instructions) We don’t have any more questions. I’ll hand the call back to the management, please.
Fang Liu: Once again, thank you for joining us today. Please don’t hesitate to contact us if you have further questions. Thank you for your continued support.